Operator: Good day, and thank you for standing by. Welcome to the First Quarter 2025 Golden Ocean Group Earnings Conference Call and Webcast. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to our speaker today, Peder Simonsen, CEO. Please go ahead.
Peder Simonsen: Good afternoon, and welcome to the Golden Ocean Q1 2025 release. My name is Peder Simonsen, and I'm the CEO and CFO of Golden Ocean. I will today present the Q1 2025 numbers and forward outlook. In the first quarter of 2025, we have the following main highlights. Our adjusted EBITDA in the first quarter ended up at $12.7 million compared to $69.9 million in the fourth quarter. We recorded a net loss of $44.1 million and a loss per share of $0.22 compared to a net income of $39 million and earnings per share of $0.20 in the fourth quarter. Our TCE rates were about $16,800 per day for Capesizes and about $10,400 per day for Panamax vessels, a fleet-wide net TCE of about $14,400 per day for the quarter. We continue our intensive drydocking program, recording drydocking costs of $38.3 million for 380 drydocking days in Q1, compared to $34.3 million in Q4 relating to 320 dry docking days. Following the share purchase by CMB.TECH of close to 50% of the shares in Golden Ocean, a contemplated share-for-share merger between Golden Ocean and CMB.TECH was announced after quarter end. In line with our fleet renewal strategy, we have entered into agreements for the sale of two older Kamsarmax vessels at attractive prices. For Q2, we have fixed a net TCE of about $19,000 per day for 69% of Capesize days and about $11,100 per day for 81% of our Panamax stays. For Q3, we have fixed a net TCE of about $20,900 per day for 16% of Capesize days and about $12,900 per day for 38% of Panamax days. Finally, we declared a dividend of $0.05 per share for the first quarter of 2025. Let's look a little bit close into the numbers. As mentioned, we had a total fleet TCE of $14,400 in Q1, down from $20,800 in Q4. We are in a period of frequent drydocks. From Q4 to -- and including Q2 2025, we will have dry-docked around 30 of our Capesizes and Newcastlemax vessels. We recorded 445 days of total off-hire in Q1 versus 364 days in Q4. Drydock constitutes 380 days in the quarter and 320 days in Q4, respectively. For Q1, in addition to the nine dry-dockings, we recorded 93 days due to spillover effects from delays in completion of drydockings in Q4. Seven ships scheduled for dry dock in Q2 2025, of which three vessels have completed dry dock as of today. The rest will enter the yard in June. This resulted in net revenues of $114.7 million, down from $174.9 million in Q4. On operating expenses, we recorded $95.3 million versus $95.6 million in Q4. Our running expenses ended at $53.8 million, $5.9 million down from Q4, mainly due to less Capesize days in the quarter and lower expenses for ballast water treatment systems recorded in Q4. We expense all driving costs and we saw an increase in the OpEx result of $4.1 million quarter-on-quarter relating to dry docks, ending at $38.4 million versus $34.3 million in the previous quarter. OpEx reclassified from charter hire was $1 million, $1 million down from Q4. And we incurred $2.1 million in fuel efficiency enhancements and other vessel upgrades in the first quarter of 2025. Our G&A ended at $5.4 million, down from $6.5 million in Q4. Daily G&A came in at $614 per day, net of cost recharge to affiliated companies, $95 per day, down from Q4 due to lower legal fees. On charter hire expense, we recorded $1.5 million versus $4.2 million in Q4, as a result of lower vessel days for the trading portfolio. On depreciation. We saw a reduction in depreciation by $3.6 million to $31.9 million in Q1 as a result of the declaration of purchase options for leases -- leased vessels with SFL and thereby extension of their useful life in our balance sheet. On net financial expenses, we've recorded $22 million versus $23.3 million in Q4, a reduction mainly due to lower SOFR rates in the quarter. On derivatives and other financial income, we recorded a loss of $2.5 million compared to a gain of $13.6 million in Q4. On derivatives, we recorded a loss of $3 million versus a gain of $11.8 million in Q4. Included in derivatives was a mark-to-market loss of $7 million on interest rate swaps in addition to a $2.7 million realized cash gain. And finally, FFA and FX derivatives, a positive result of $1.3 million. For results and investments in associates, we recorded a gain of $0.7 million, compared to $1.6 million gain in Q4 relating to investments in Swiss Marine, TFG and UFC. A net loss of $44.1 million or a $0.22 loss and a dividend of $0.05 per share declared for the quarter. Cash flow from operations came in at negative $3.3 million, down from $71.7 million in Q4. Cash flow used in financing were $15.8 million, mainly comprising of net proceeds from new financings of $50 million, which was a drawdown under our revolving credit facility, $35.9 million in scheduled debt and lease repayments and a dividend payment of $29.9 million relating to the Q4 results, total net decrease in cash of $19.1 million. On our balance sheet, We had cash and cash equivalents of $112.6 million including $5.9 million of restricted cash. In addition, we've had $100 million of undrawn available credit lines at quarter end. Our debt and finance lease liabilities totaled $1.44 billion by end Q1, up by approximately $73 million quarter-on-quarter. Average fleet-wide loan-to-value under the company's debt facilities per quarter end was 39.2% and a book equity of $1.8 billion and a ratio of total equity to total assets of approximately 54%. In Q1, we saw seasonal seasonality play out for the main dry bulk commodities in addition to a reduction in sailing distances year-on-year. Ton-miles fell 1.5% with grains in coal being the main contributors, as China reduced their imports by 14% and 25%, respectively, compared to Q1 2024. This has impacted the smaller shipping segments, the most, which Panamaxes were supported by an increase in the relative share of coal volumes. Iron ore volumes fell in line with seasonality driven by weather-related trade disruptions, in particular for Australia. In fact, Brazilian exports were slightly positive year-on-year, despite more heavy rain season, which indicates infrastructure improvements. Bauxite volumes from Guinea, which had their high season in Q1, recorded a 37% year-on-year growth in Q1, with 48.8 million tonnes exported, of which approximately 85% goes to China. On iron ore, Australian iron ore exports were impacted by an extensive cycle on season in Q1, with volumes reduced by 9.7% compared to Q4 and 2.2% year-on-year. Main season in Brazil also impacted export volumes, but interestingly, ended higher compared to Q1 2024. Despite geopolitical unrest and lowered global growth forecasts, we have seen supportive signals from Australian and Brazilian miners on their expected annual export volumes. Both Rio Tinto and Vale expect 2025 full year volumes to reach 325 million tonnes to 335 million tonnes, while BHP reiterates the 255 million tonnes to 265 million tonnes target. The target represents a flat year-on-year development for all three exporters. China continues to be the main importer of iron ore. As for coal and grains, Chinese iron ore import volumes have been lower during the period with geopolitical unrest. Chinese steel production has come down quarter-on-quarter in line with seasonality and compared to Q1 2024. However, the Chinese government are continuing to stimulate the economy through lowering interest rates. And according to recent announcements from the China Iron & Steel Industry Association, therefore, cost a 2% year-on-year growth in steel demand backed by further similarly in the industrial sector counterbalancing the weak property market and consumer demand. The quality of Chinese domestic iron ore is poor and deteriorating with an estimated FE content of around 20% to 30%. On the back of increased pressure to de-carbonize the steel industry, the Chinese government focus on high-quality coal and high FE content. And this is highly supportive to ton-mile with the largest new deposits of high-grade iron ore found in Brazil and Guinea. In Q4 this year, we will see the Simandou project in Guinea, West Africa commenced exports. The Simandou high-grade iron ore mine is expected to ramp up production over two years adding an additional 120 million tonnes export capacity annually. In addition, the new expansions are underway in Brazil, adding 50 million tonnes in new capacity over the next years. Iron ore prices continue to be well-supported, trading around $100 per tonne for a long period. This compares very favorably to the breakeven rate of the major miners of around $50 per tonne delivered China. Further, when new high-grade volumes come on-stream, ore prices may fall from current levels. And with domestic Chinese iron ore in the high-end of the cost curve, a lower iron ore price is expected to favor more ton-mile heavy trading routes. With significant Chinese investments in mining and infrastructure in Guinea, we expect these volumes to be prioritized as a replacement for its domestic ore, supporting the long-term positive outlook for the Capesize vessels. The Guinea government has, together with Chinese industrial conglomerates and global mining giants, developed infrastructure and port facilities in an area, where the largest deposits of high-quality bauxite and iron are sound. Kenyan bauxite have, over the last five years, seen an average growth rate of 22%. And bauxite, which is used in the production of aluminum is supplying the booming EV industry as well as other industries in China. The Q1 export volumes from Guinea showed the export capacity with volumes exceeding 48 million tonnes, 37%, up from Q1 2024. The first quarter is the high season for bauxite to exports. And this year, exports have surprised on the upside, which substantiates the consensus expectation for 5% to 10% growth annually for the next two years. As the Guinean bauxite trade constitutes 12% to 15% of the total Capesize tonne-mile demand, a 5% to 10% growth in volumes will represent a 1% to 1.5% growth in the ton-mile demand, representing the full 2025 order book. We're currently seeing some instability in Guinea, whereby mining licenses have been temporarily brooked having a shorter potential impact on exports. Due to the high importance of the iron and bauxite ore exports for the country's economy, we expect that this will be resolved. The order book remains attractive for the Capesize fleet with around 8% order book-to-fleet ratio. Shipyard capacity for Capesizes and Newcastlemax is limited and yards prioritize container and LNG and tanker orders over drybulk vessels. Despite historically high newbuilding prices, the profit margins for dry bulk is limited compared to other vessel segments. We are in a period with increasing competitive advantages for modern vessels, both in terms of fuel efficiency, in carrying capacity, but also tightening regulations relating to safety, crew welfare and emissions. As seen on the left-hand graph, the Capesize fleet is aging rapidly. And by 2028, over half of the global Capesize fleet will be over 15 years in a period where environmental regulations are tightening. The global Capesize fleet will, over the next two years, experience high proportion of dry docks compared to an average five year cycle. A large share of these vessels are 15 year drydockings normally requiring substantial investments to meet class requirements. The focus by major miners and traders on safety, technical additions and emissions are increasing, which has substantially increased the investment needed to maintain a trading flexibility for older ships. The fleet continues to operate at a high level of efficiency with port disruptions in the lower end of the historical range. While we do not expect conditions to increase meaningfully, there is no remaining downside to fleet efficiency. Sailing speeds remain low and expect this to continue, particularly for the large portion of the older inefficient fleet. We are still only seeing marginal transits really Capesize through Swiss canal from, while a reopening will provide some reduction in ton-mile at face value. It may also reopen ton-mile accretive trades. I will now pass the word back to the operator and welcome any questions.
Operator: [Operator Instructions] And the question comes from the line of Peter [indiscernible] from ABG Sundal Cole. Your line is open. Please ask your question.
Unknown Analyst: I was wondering if you could shed some light on the timing for the contemplated merger in terms of -- well, yes, I suppose, more if you can be specific on bases to look forward to in this context?
Peder Simonsen: No. I think as of it, it's really hard to say. We are working in accordance with the plan that was announced in the press release. And there are, obviously, in such processes, a lot of different work streams. So it's hard to be more specific than what has been announced.
Unidentified Analyst: Okay. I don't know, is it looking at the prices for the two related equities here. It seems to be a detachment between market prices and the agreed 0.95 exchange ratio. Should we interpret that as if the market is not expecting the merger to go through with such exchange ratio, or are there any other elements to this that -- well, I don't understand.
Peder Simonsen: I have to say, that's something that you should probably interpret on my behalf, at least. I mean, it's priced in a way it's priced and for whatever reason. I guess some of it has to do with liquidity in the stock, but I leave that to you to interpret. .
Unidentified Analyst: I understand Peder. I do understand that it's probably closer to my profession, to try to explain as you understand. It's quite difficult to grasp that now, so 15%, 16%, 17% discount. Okay. But towards the market then, we've had sort of, I would say, a conventional sort of Q1, perhaps somewhat on the low end. If you go back a few weeks, we had some good momentum here. But over the past, few trading days, it's stagnant again. In terms of near-term expectations here, should we think that, we need to see Simandou volumes coming and trying to get covered with ships, or are there significant or sort of meaningful catalysts in the marketplace to be expected prior to that?
Peder Simonsen: I think what has happened in the recent couple of weeks is that, we've seen some disruptions on the Guinea export side. There's been some turmoil on force mature being embarked on some of the mines and export facilities there. And also, we saw for a breakdown of some technical equipment in Peru, also disrupting some of the market. And these things do not necessarily give a lot of less volumes into the market, but they impact the sentiment. And given the sort of general economic sentiment, that can impact the FFA curve, which is what prices freight. So I think incidents like that will impact the market, given the nervousness in general, but the volumes are picking up in line with seasonality. We see that, Vale is now approaching $900,000 tonnes per day, which is very solid. And I don't see that, there's going to be -- that gravity will find its way here as well. So I don't think we need to wait for Simandou. We are still very positive for the second half. I expect volumes to be healthy for the Capes. So that's our expectation, but it may take some time given the way the sentiment works as of now.
Unidentified Analyst: Okay. And in light of what is now, as I said before, not a very at least good quarter in hindsight that we saw in Q1 and with current rates also perhaps at least not in the high end. The asset prices continue to be strong here. Is that from your perspective -- well, is it to be expected that we'll continue to see, according to Clarkson $79 million to $80 million for resale Newcastlemax if rates continue for the standard Capes and sort of mid-teen level. Doesn't something have to give here, either rates come up or asset prices would see some pressure?
Peder Simonsen: Yes. You've asked this question now for quite a long time and there's been a disconnect between asset prices and sort of the rates. I think that, new building prices are high as a function of both sort of supportive long-term fundamentals for the market, but also lack of the yard capacity. So I think those are very well supported. We see that also on the secondhand values, which we don't expect to come down. I mean we have Simandou, we have a lot of the demand sort of fundamentals to be positive for the big ships. And not least, historically, good visibility on the supply side. So I don't really see what's going to bring values down. And I think it is a matter of time before this gravity trickles into the freight market as well. There are a lot of one-offs that impact this market as of now. We have obviously good Q1 last year, sort of unusually good. And this year, it was more in line with seasonality. And we've seen that, the big miners are still very much guiding positively for full year volumes in line with last, which means that they would need to ramp up their exports significantly for the second half. So I don't think fundamentally there's anything that has changed that picture and obviously supported by risk constrained shipyard capacity and willingness to build Capesizes and Kamsarmax, I think that's not going to change in the near-term.
Operator: [Operator Instructions] Speaker, there are no further questions. I would now like to hand the conference over to Peder Simonsen for any closing remarks.
Peder Simonsen: Thank you. I just want to thank you for joining in, and have a great rest of the week. .
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect. Have a nice day.